Operator: Greetings, and welcome to Energy Focus Fourth Quarter and Fiscal Year-End 2020 Conference Call. [Operator Instructions]. Please note, this conference is being recorded. I will now turn the conference over to your host Brett Maas with Hayden IR. Thank you. You may begin.
Brett Maas: Thank you, operator, and good morning, everyone. Joining me on the call today is James Tu, Executive Chairman and Chief Executive Officer; and Tod Nestor, President and Chief Financial Officer. Before we begin today's call, I'd like to remind everyone that we'll make certain forward-looking statements. These statements are based upon information that represents the company's current expectations or beliefs. The results realized may differ materially from those stated. For a discussion of these risks that could affect our results, please refer to the discussion under the headings Risk Factors as well as forward-looking statements in our most recent 10-K. The company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Also, please note that during this call and in the accompanying press releases, any -- certain financial metrics are presented on both GAAP and non-GAAP adjusted basis. Reconciliations of adjusted results to the GAAP results are available in the tables attached to the earnings release, which is posted on our corporate website at energyfocus.com in the Investor Relations section of the site. I will now turn the call over to James. James, the floor is yours.
James Tu: Thank you, Brett. Good morning, everyone, and thank you for joining our full year and fourth quarter 2020 earnings conference call. 2020 was the year filled with both extreme challenges and solid progress at Energy Focus, as the global pandemic swept across the country, and, arguably, still weigh heavily on daily economic activities today, more than a year after the initial breakout.  Despite of the [indiscernible] and the softness of lighting retrofit activities that impacted our commercial lighting sales, our financial results for the full year, which Tod will go into further details later, illustrate the considerable progress we have made in reigniting top line growth, significantly improving our margins and strengthening of our balance sheet and prudently managing inventory and working capital to position our company for strong growth, as economic life resumes towards normality and our new UV-C disinfection products start to generate notable sales in the coming quarters.  On the top line, the strength of our product innovation that resulted in improved competitiveness in the military and maritime space was a significant driver of the more than 32% net sales growth we were able to achieve in 2020, which offset the weakness we experienced in our commercial business ever since March of last year.  As we continue to strengthen our military engineering organization and expand our business development efforts, we are confident that we will continue to achieve high level performance and further growth in this segment going forward. In addition, within the federal government but outside of the Navy ecosystem, our military and commercial Buy American products were successfully added to the GSA schedule in December 2020.  We have started to receive orders from the GSA channel over the past few months, and we are aggressively building out our sales and marketing infrastructure for this particular market that covers more than 361,000 buildings throughout federal government agencies. On the commercial side, as we mentioned over the past few earnings calls, we witnessed a dramatic slowdown of lighting retrofit activities in 2020.  Many nonessential building improvement upgrades and retrofits were prolong hold, as the global pandemic forced most organizations to significantly limit building occupancy and building access and caused widespread suspension or postponement of capital improvement budgets.  Although facility utilization and capital spending freezes continued to linger going into the first quarter of 2020, as vaccines become more widely available and return to share spaces starting to pick up pace.  We are cautiously optimistic that commercial sales pipeline activities will start to accelerate going into the second quarter and more notably so into the second half of the year.  Meanwhile, we continue to make exciting progress in expanding our channel partnership network by adding more proven and committed lighting agents to represent our products in various geographic territories as well as by engaging with new national distribution partners that will take our product to new vertical markets.  With our improved cost structure of our LED products, on top of the EnFocus dimmable and color-tunable control platform that has received strong industry-wide accolades, including initial orders from a state government that manages 17 million square feet of building space, we are looking forward to improving our commercial lighting sales quarter-over-quarter, as the year 2021 progresses. As the COVID-19 pandemic brought unprecedented challenges to our commercial lighting business, it also brought potential new opportunities for Energy Focus by creating unprecedented need for space disinfection. In 2020, we devoted a significant amount of engineering resources and R&D dollars to develop a whole new portfolio of UV-C, air and surface disinfection products.  With the combination of our expertise and experience with lighting technology and additional new proprietary as well as patentable technologies we have developed, we have created a line of unique and powerful UV-C products that can inactivate 99.9% or more of various pathogens, including coronavirus and influenza.  The air disinfection product portfolio currently includes [indiscernible] abUV, a modular troffer system that provides both flicker-free, dimmable and color-tunable light as well as UV-C air disinfection [indiscernible], nUVo power spelled N-U-V-O, an air disinfection device for large work and leading spaces and nUVo Traveler, our portable and rechargeable UV disinfection device for in-car and travel applications.  Over the past few months, we have incorporated into these products additional technologies and features that makes them much more effective, powerful and unique in the marketplace than when we first introduced them in the fourth quarter of 2020.  And we are now scheduled to make the first deliveries for these products to customers later in the second quarter to early third quarter. Meanwhile, the feedback we received from our channel partners and potential customers over the past 4 to 5 months since the products were introduced has only gotten more positive and enthusiastic.  And we have never been so excited about the prospects for these products. Given our belief that [indiscernible] infection are here to stay regardless of how the impact from COVID-19 evolves in the coming months and years and our innovation focus and quality positioning, we are aiming to build a leading UV disinfection brand portfolio in this new emerging market.  And we expect to introduce additional products throughout 2021 and beyond to better serve the disinfection need of various facility and consumer applications. To complement our air disinfection products, we've also developed an industry-leading autonomous UV-C surface disinfection robot called mUVe, spelled M-U-V-E.  While we will be selling the robot later this year to customers with larger facility footprints, such as hospitals, hotels and retail chains or universities and government agencies, our near-term focus is to develop our disinfection as a service or DaaS solution called mUVeCrew, which provides robot disinfection services by the hour in the targeted territories. We are starting to pilot this service in the Cleveland area this month and are planning to officially launch our services in the second quarter, first in Cleveland then other major metropolitan areas, as we master our service operation for that location. Like our air disinfection product, the early indication of the interest is very encouraging for mUVe and mUVeCrew, even before we formally launch the product and service. Notably, we were selected by 1 of the top 10 universities in the country to be a service disinfection technology for NCAA National Fencing Championships, which are being held later this week, where 25 NCAA Division 1 colleges and their athletic directors are expected to be present.  Although these products and solutions are in early stages, are expected to meaningfully contribute to our financial results until the second half of 2021, they create a potentially enormous long-term growth opportunity outside of the commercial and military lighting space. And our entrepreneurial culture and innovative DNA enable us to compete favorably in such a market, where multiple technological domains of expertise have to intersect, converge and synergize to provide the best disinfection results.  Essentially, with bold positioning organizational agility and engineering ingenuity we have taken the past 12 months to enter a whole new market that could further and completely transform the growth [indiscernible] profile of Energy Focus in the coming quarters and years. Clearly, as mentioned before, challenges remain today in the broader macro environment and, in particular, for the lighting retrofit industry, as remote working drastically reduces facility capital budget and project activity.  With the opening of the economy in the coming months expected and our growing list of highly differentiated products be it from military lighting, commercial lighting, in-focused control platform or UV disinfection, poised to penetrate their respective target markets, we believe that Energy Focus has never been as well positioned today to deliver long-term sustainable growth and profitability. With that, I will turn the call to Tod to review our financial performance for the year and the quarter. Tod?
Tod Nestor: Thank you, James. First, I'd like to summarize our 2020 full year results. Net sales for the full year 2020 were $16.8 million, up 32.5% compared with $12.7 million in 2019. The year-over-year increase in net sales was primarily driven by an increase in military sales, which is partially offset by a decline in commercial sales as a result of fluctuations in the timing, pace and size of commercial projects, including, principally, the impact from the COVID-19 pandemic, the FOS or delay in lighting retrofit projects across the board in the commercial sectors, as James mentioned earlier.  From a segment mix perspective, military sales were $11.4 million, representing 67.9% of total net sales compared to $4.8 million or 38% of total net sales for 2019. Sales to commercial customers were $5.4 million in 2020, representing 32.1% of total net sales for the year, down from $7.9 million or 62% of total net sales in 2019.  The year-over-year decrease in commercial sales was mainly due to overall softness in the commercial market that began with the onset of the COVID-19 pandemic. Gross profit for 2020 was $5.2 million compared with $2 million in 2019, an increase of 162.7% year-over-year that was driven by an increase in military sales dollars and mix, as well as improved efficiency in our plant operations.  As a percentage of revenue, gross profit margin was 30.8% in 2020, compared to 15.5% in 2019, a nearly twofold increase. This increase was primarily due to a more favorable product mix and the margin impact from increased military sales which more than offset unexpected additional manufacturing costs due to supply chain challenges relating primarily to military and maritime products.  Adjusted gross margin, a non-GAAP measure, was 27.1% for full year 2020 compared to 15.9% in the prior year. Operating expenses in 2020 were $9.3 million or 54.9% of sales compared to $8.9 million or 70.3% of sales in 2019 or a 3.7% increase year-over-year, however, which was leveraged by the 32.5% increase in net sales. The increase in spending was driven by higher product development and testing costs related to the development and launch of our EnFocus products and development of our UVCD products and higher SG&A due to increased salaries and benefits for headcount to support our growth initiatives.  Loss from operations for 2020 was $4.1 million compared to a loss from operations of $7 million in 2019, a year-over-year improvement of $3.1 million. Our core operating business continues to improve, as we remain focused on leveraging our operations as we grow and through continued diligent cost management through strategic sourcing efforts and belt tightening.  Below the operating line, interest expense, including interest on borrowings and noncash amortization of facility fees was $481,000 in 2020 compared with $317,000 in 2019. This increase was the result of an increase in borrowings under our new short-term credit facilities that provided increased borrowing capacity. Also, below the operating line, we had nonrecurring expenses of $276,000 for the extinguishment of former revolving line of credit, as well as our early payoff of the bridge financing and a loss of $1.1 million for the market value change in our warrant liabilities.  Importantly, in December, certain of the terms of our outstanding warrants were modified, such as the warrants now qualify for equity accounting treatment going forward. At the time of the modification, the liability related to the remaining warrants was fair valued with the offsetting adjustment recorded in income. The warrant liability was then reclassified into equity and the warrants are no longer subject to remeasurement at each balance sheet date.  Consequently, this reclassification has added the benefit of eliminating the volatility risk to our net income that can result from periodic valuation of warrants that are classified as a liability. Net loss for 2020, inclusive of the nonoperating expenses and impact of the warrant valuation was $6 million or $1.83 loss per basic and diluted share based on 3.2 million fully diluted shares compared with a loss of $7.4 million or $2.99 loss per basic and diluted share in 2019, which is based on 2.5 million fully diluted shares.  Adjusted EBITDA, a non-GAAP measure, which excludes depreciation and amortization, interest expense, stock based and other incentive comp was a loss of $3.5 million for 2020 compared with a loss of $5.9 million in 2019.  Now I would like to turn to a brief review of fourth quarter results. Net sales for the fourth quarter of 2020 were $3.7 million, up 6.1% compared with $3.5 million in the fourth quarter of 2019. The year-over-year increase in net sales was primarily driven by an increase in military sales, which was partially offset by a decline in commercial sales as a result of fluctuations in the timing, pace and size of commercial projects, including the impacts of the COVID-19 pandemic.  When compared to $6 million in the third quarter of 2020, net sales were down 37.2% on a sequential basis, due in large part to decreased sales in our military business, resulting primarily from the timing of one particular military order that shifted a significant portion of sales from the second quarter of 2020 to the third quarter, resulting in an excess concentration of military sales in the third quarter, as we had previously mentioned.  Sales to our top 10 customers for the total company for the fourth quarter of 2020 increased 6.1% and sales to our top 20 customers increased 4.8% compared to the fourth quarter of last year, reflecting further penetration into the top-tier of our existing customer base.  From a mix perspective, military sales were $2.6 million for the fourth quarter of 2020, representing 69.2% of net sales compared to $1.5 million or 42.5% of total net sales for the fourth quarter of 2019. The year-over-year increase in military sales is primarily due to increased sales to one of our top 10 customers compared to last year with one particular military customer representing most of the increase.  Also, fourth quarter net sales to our top 10 military customers increased 66.9% and net sales to our top 20 military customers increased 67.3% compared to the fourth quarter of 2019. Sales to commercial customers were $1.1 million in the fourth quarter of 2020, representing 30.8% of total net sales for the quarter, down from $2 million or 57.5% of total net sales in the fourth quarter of 2019.  The year-over-year decrease in commercial sales was mainly due to overall softness in the commercial market that began at the onset of the COVID-19 pandemic. Sequentially, net sales to commercial customers decreased 20.7%, down from $1.5 million in the third quarter of 2020. This decrease was primarily driven by the pandemic.  Fourth quarter 2020 net sales to our top 10 commercial customers decreased 53.6% year over year. And fourth quarter net sales to our top 20 commercial customers decreased 51.8%. As a percentage of revenue, gross profit was 38.3% in the fourth quarter of 2020 compared to 27.1% in the fourth quarter of 2019, a year-over-year increase of 1,120 basis points. This increase was primarily due to a more favorable product mix and the margin impact from increased military sales, as well as more favorable reserve movements in 2020.  On a sequential basis, gross profit margin increased 1,520 basis points from 23.1% in the third quarter of 2020. Adjusted gross profit margins for excess and obsolete, in-transit and net realizable value inventory reserve resulted in the non-GAAP adjusted gross margins of 27.7% for the fourth quarter of 2020, more in line with recent historical trends compared to 28.5% in the fourth quarter of 2019 and 24.6% in the third quarter of 2020.  Operating expenses in the fourth quarter of 2020 were $2.3 million or 61.4% of sales compared to $2.1 million or 60.2% of sales in the fourth quarter of 2019, an increase of $173,000 or 8.1% year-over-year. The increase was largely driven by higher product development costs related to the development of our UVCD products.  Loss from operations for the fourth quarter of 2020 was $866,000 compared to a loss from operations of $1.2 million in the fourth quarter of 2019, a year-over-year improvement of approximately $300,000. Sequentially, this compares to a loss from operations of $1 million in the third quarter of 2020, an improvement of $146,000.  Below the operating line, interest expense was $137,000 in the fourth quarter of 2020 compared with $181,000 in the fourth quarter of 2019. This decrease was the result of a lower blended interest rate on borrowings despite the higher debt balance. Also, below the operating line in the fourth quarter, we had nonrecurring expenses of $117,000 for the extinguishment of debt and $1.2 million gain related to the valuation of the warrants. As I mentioned earlier, these warrants were reclassified into equity and will be subject to -- will not be subject to remeasurement in subsequent periods.  Net income in the fourth quarter of 2020 was a positive $65,000 or $0.01 per basic and diluted share based on 4.3 million of fully diluted shares compared with a loss of $1.3 million or $0.53 on a loss per basic and diluted share basis based on 3.3 million of fully diluted shares in the fourth quarter of 2019. Now I'd like to turn to the balance sheet.  As of December 31, 2020, we had cash of $1.8 million compared to $350,000 at the end of 2019. The increase in cash was primarily due to the insurance of new capital through the sale of equity in the first quarter, as well as increased borrowings. Total debt as of December 31, 2020, was $3.1 million, which was comprised of $2.3 million in short-term credit line borrowings and borrowings of $795,000 under the Paycheck Protection Program as part of the Coronavirus Aid, Relief and Economic Security, or CARES, Act.  We applied for loan forgiveness in October 2020 and it was subsequently granted in February of 2021, which included the entire principal balance and interest. In accordance with GAAP, the forgiveness income will be recorded as other income in the consolidated statements of operations during 2021. We estimate there will be a positive impact to other income of approximately $800,000 in the first quarter. For enterprise value purposes, our net debt was $1.3 million at the end of 2020, which compares to net debt of $3.1 million at the end of 2019, a $1.8 million reduction year-over-year. As of December 31, 2020, we had total availability of $3.5 million, which was comprised of $1.8 million of cash and $1.7 million of excess borrowing availability under our credit facilities, primarily as a result of additional capacity gain through our new credit facility, the PPP loan and the equity offering.  This compares to $1.9 million in total availability at the end of fiscal 2019. Now I would like to discuss the full year cash flow results. Cash used in operations was $2.5 million for 2020. The net loss was $6 million, inclusive of noncash items, such as depreciation, stock-based compensation and $1.1 million loss from the change in fair value of the warrants.  We generated cash from working capital of $2.3 million in 2020 compared to [indiscernible] of $412,000 of cash in 2019. $1.1 million was generated from inventories and $1.1 million was generated from accounts payable, both driven by timing of inventory and a $400,000 was generated from accounts receivable, driven by timing of collections.  Cash used in investing was $223,000 or approximately 1% of net sales. Historically, our capital spending requirements were not significant. Net cash provided by the financing activities was $4.1 million, driven primarily by the equity we issued in January, as well as the PPP loan. As I mentioned during prior earnings calls, for the time being, we would like to provide brief updates about the impact of the COVID-19 pandemic on our business. As in the past, we continue to operate under our customized COVID-19 contingency plan at the company with employees that can alternatively work from our plant and office or from their homes.  James and I have already discussed the historical impact of the COVID-19 pandemic on our commercial business. While there are small signs that the commercial business might be starting to rebound a bit, it is still too early to become overly optimistic of a rapid or immediate recovery.  During the fourth quarter of 2020 and through today, the impact of the pandemic has significantly impacted many businesses, including ours, and resulted in supply chain impacts, such as increased wait times for products to arrive as well as increased inbound and outbound freight and shipping costs, some of which can be passed along to customers, plus continued staffing challenges and other operational hurdles we have had to overcome.  Fortunately, we continue to not see a significant impact of the COVID-19 pandemic on our military and maritime business unit. However, thankfully, the development and launch of the UVCD portfolio of products is a good countervailing influence to the pandemic's impact on our commercial business, is consistent with our human health centric approach to lighting, fits very strategically into our long-term goals, and we believe is a long-term business model that will address a lasting focus on sanitation in the workplace, consumer space and social gathering spaces following the COVID-19 pandemic event.  The UVCD portfolio addresses all pathogens, including the coronavirus and influenza. Hence, we are entering this segment strategically and with a long-term view. With that, we would like to open up the call to questions.
Operator: [Operator Instructions]. Our first question is from Amit Dayal with H.C. Wainwright.
Amit Dayal: Just with respect to this disinfection as a service solution, how many robots do we have right now? And can you talk a little bit about the business model in terms of -- you said you may be charging on an hourly basis. I know it's very early, but in terms of just your thoughts on how this could scale up potentially if this picks up for you?
James Tu: Yes, sure. Yes, you are right that it's a little bit early. We're just launching the pilot service. We now have 5 robots that we are basically working on and providing services and training our operating technicians in the Cleveland area. So it's a bit too early to lay out the specifics, but we're excited about it. We are charging around $150 per hour on the services.  Obviously, it depends on how much subscriptions, how many times you are using on a monthly basis, and we have a so-called the wheeled car type of methodology towards the usage to encourage recurring uses. We will be sharing more details in the next earnings call about the exact mechanism. So we just want to make announcement that we are in the middle of the piloting services. And as I mentioned, it will be launched officially in the second quarter. So we'll have more details this year. Tod, you want to add anything?
Tod Nestor: I'll just add on the pricing front, when we determined that level of pricing, we did extensive benchmarking and other analysis to make sure that we felt we had a very good value. And $150 is the highest price a customer would pay. If they bought more units, they get a lower price per hour.
Amit Dayal: Understood. And then it looks like going into 2021, we have a lot of drivers for the commercial segment in terms of products and renewed sort of sales force reorganization, et cetera. If the commercial business picks up for you in 2021, what kind of impact on the margins should we expect from this?
James Tu: I'll take a step and obviously Tod can add [indiscernible]. We always target over 30% gross margins. In some product lines, traditional lens and fixtures product lines, the margins could be lower. And it also depends on -- there could be onetime transaction that will have lower margins. But overall, we are looking to achieve 30% plus margins in our commercial business line. We definitely should have that in focus line and the -- and most likely all the UVCD products. And I think that's consistent with what we have been talking about targeting over 30% margin on the commercial line. Tod, do you want anything to add on that?
Tod Nestor: I'll just say that given our current volumes, as we increase volume, that rate will be more consistent quarter-to-quarter because the mix will not impact it as much. But we do have a strategy of targeting the kind of margins, both from a dollar basis, which is our primary driver, as well as considering percentage margins and how we price these. So we do intend to stick in those ranges that we've mentioned before. And James just reminded everybody else.
Amit Dayal: Okay. And with respect to the EnFocus product, it looks like this is a bigger part of the commercial efforts in 2021. Has -- did EnFocus contribute anything in the fourth quarter? Or you weren't really in a position to market and sell this because of COVID-related reasons in that quarter?
James Tu: Yes. The EnFocus is really insignificant yet at this point. And the reason is that as you are aware of the EnFocus system, it targets the commercial facilities. And all the budgets, basically are not only new retrofit budgets, but also existing retrofit projects were being delayed. So we haven't seen EnFocus being actually sold into the market in new projects yet. What we are seeing is a lot of interest in taking EnFocus into new projects once the projects start to happen again. We mentioned about a win that we had with a state government facilities that will start installing EnFocus in the second half of the year -- of this year.  And that was one of the -- so not rare, but not so often situations where the budget continues to move forward without any impact, without any short-term impact. So our hope is that, again, economy started to come back to more normal pace, we can start seeing EnFocus being specified into the new projects.  We are also obviously going to be, as you mentioned, we're expanding our sales organization. So there are going to be additional channels where we could sell EnFocus to the nontraditional project oriented, ESCO oriented opportunities.  And we will talk more about that when that transpires. The other thing I would add is that, obviously, in total, so you're correct that it's a major investment for us in engineering for the commercial space. We envision that EnFocus being the -- basically the control hub going forward to provide room based lighting controls. And we're adding functionality to it. And we will also have other residential type of applications based on EnFocus later this year. So we're looking to expand this product portfolio further throughout the year.
Tod Nestor: Right. James, could I add one item to that? We're also -- EnFocus will be part of the above product that James mentioned earlier, our UVCD troffer. So with that, as those begin to seed the market, we will also see growth in the EnFocus platform.
Operator: [Operator Instructions]. Our next question is from Bill Hardy, Private Investor.
Unidentified Analyst: My question is in regard to EnFocus. In the August conference call, you mentioned that you were going to provide a programmable capability for the EnFocus stations, both from an individual station and from a system-wide station. Could you comment on where we stand on that because I think it's a very significant thing to add to that product line?
James Tu: Yes. Bill, you're talking about -- I'm presume, you're talking about more additional control capabilities for EnFocus?
Unidentified Analyst: Yes.
James Tu: Yes. So yes, so as you are aware of the current generation -- the first generation of EnFocus product has the ability to -- it is flicker-fee, dimmable, tunable, all controlled from the switch. In the next generation, we are adding circadian lighting, which is autonomous circadian lighting as well as occupancy sensing. So we're obviously expanding the capabilities of EnFocus switch. And obviously, the application is almost limitless. Once you have established the connection between the switch, which is the control center and the lamps, the rest is really adding the capabilities to the switch. And I think the appeal for EnFocus is only going to get better, get stronger because of the increasing set of security concerns for wireless communications. And so yes, so we are moving towards that direction, for sure.
Unidentified Analyst: Yes. So that means that rather than manually operating the switch, you'll be able to program it, so that will go on and off at particular times, right?
James Tu: Yes. Yes, you basically have the ability to turn to autonomous control because based on the circadian researches, throughout the day, there will be these different light levels and color temperatures that will optimize human comfort and productivity and performance. We -- in the next generation, we are building that capability into the switch. So if -- you can obviously override the light level or the color temperature anytime manually. But if you choose to do autonomous, you have the ability to actually have that circadian lighting throughout the day, 24-hour period, which is -- I think it's going to be a great application for residential uses, which is why we are scheduled to launch in the second half of the year.
Unidentified Analyst: Right. One more question in regard to the UV-C products. You had indicated in the third quarter conference call that you were going to provide about 100 of the small stand-alone units to various customers. And I'm just wondering what the feedback was from that? And did that happen?
James Tu: Yes. As I mentioned in the earlier talk we have made additional improvements on the products, and we're even more excited now with the product. So the products are now being going through production engineering, and we are scheduled to start selling them in the June time frame. We will be providing these samples before that. And so we'll see how the responses are. But in the past few months, we have taken our prototype of products. That's probably the [indiscernible] you're talking about. We have provided -- we demo those products to many customers. And that's why we said that the feedback has been really good.  The unique capabilities for the products, which I won't go into details here, but in the summary, is to be able to intercept the virus in real time, and disinfectant effectively, which is what most purifiers do not provide. And so -- and we have technologies that are built in that can generate pretty strong airflow while still keeping the unit safe for human use. Those are the improvements that we made over the past few months. And we believe that there's a certain amount of demand. Again, it's a new market. So we don't know how big that demand is. We -- anecdotal evidence has shown based on our discussions and demos with our customers and their customers, I think demand will be substantial, but it's too early to tell.
Operator: And our next question is from Ethan Star [ph], Private Investor.
Unidentified Analyst: You mentioned, I believe, new national distribution partners that will take products to new verticals. And I'm hoping you could please expand on that.
James Tu: Yes, we are not ready to talk about it yet. I think once that's ready to go, we will be announcing that. Yes. Unfortunately, we can't talk about it right now yet.
Unidentified Analyst: That's fine. I understand. And I'm wondering, to what extent are you aiming at new construction versus retrofits? Retrofit seemed to get a lot more discussion during the conference call.
James Tu: Oh, yes, absolutely. The company has traditionally been a retrofit-focused company because of lens-based solutions. We -- you made a very good point and a very good question that the new construction actually hasn't been as attracted by the COVID as the retrofit just because the new construction bucket usually has been approved and ready to go. And I think the new stimulus plan is going to continue to increase the demand for new construction lighting products. For the retrofit, it's a totally different story where you don't have to upgrade your lighting when people are not even there, and you don't know when they're going to come back. So -- and that's why we have been confronting over the past year or so. We are planning to launch our whole fixture line, that is also lens based. We're very excited about that we're going to new construction market. And the reason why I'm very excited about that is twofold, one is that it will be based on our lens-based solutions, which make those fixtures very sustainable compared with the integrated fixtures that you have to really throw out of the mechanical parts, if the lights don't work anymore or it becomes very technologically lagging. So it's on the sustainability standpoint, that's -- we believe that's the most sustainable lighting fixtures in the market. And the second thing, obviously, is that it's basically coupling the troffers with our existing lens to provide a different line of products that now the architects and designers could specify, instead of specifying lens and troffers, they could just specify that whole fixture line. And it doesn't take a lot of time for us to launch this product line.  It will be launched in the second quarter. So that will take us to the new construction market. Obviously, that takes time to develop the whole segment. It's a new segment for us. On the other hand, one of the most important thing when the business was slow over the first 6 months for the commercial side is for us is to expand our agency network. Now we have more than 20 agency -- lighting agencies across the country. And these agencies have a substantial amount of [indiscernible] business in new construction. So we're hoping that this new product line to address their needs there as well.
Unidentified Analyst: Okay. Great. And I'm wondering, you mentioned these lighting agencies, I believe. And I'm wondering -- I'm not really aware of those, but I wondered to what extent do you focus your marketing efforts on architectural firms?
James Tu: Very little. Like I said, at this point, before we launch the floor for fixture line, very little. We have been focusing mostly on retrofit. And as I mentioned, once we have the fixture line, we will be turning our marketing focus to the -- I mean, essentially driving into a whole new market there with the existing agency and that's the beauty of it. We don't have to create another channel for it.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to management for closing remarks.
James Tu: Thank you very much for your participation today in our earnings call, and we look forward to talking to you again in the next quarterly earnings call. Have a great day.
Operator: This does conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.